Katherine Tonks: Welcome, everyone. With me on the call today are John Evans, our CEO; and Ricardo Rosa, our CFO. The Q1 press release is available to download on our website along with the presentation that we’ll be referring to on today’s call. And turning to Slide 2. As a reminder, this call includes forward-looking statements that reflect our current views and are subject to risks, uncertainties and assumptions. Similar wording is also included in our press release. I’ll now turn the call over to John.
John Evans: Thank you, and good afternoon, everyone. I’d like to start by reflecting on how the first quarter has unfolded, and how dramatically our industry has changed over the last 8 weeks. Subsea 7 had a strong start to the year, with a solid backlog of over $5 billion and some important awards early in the first quarter that gave us confidence in the outlook for the year ahead. We were optimistic that margins were gradually improving, and that vessel availability was beginning to show signs of tightening. In a space of a few short weeks, the outlook has changed radically.  In February, we began dealing with limited impact of potential supply chain disruption in China and Italy. In March, as COVID-19 spread across the globe, we introduced measures to protect the workforce, which presented some logistical challenges, but we continued to deliver our clients’ projects. It has been the unprecedented impact of the virus on oil demand that has a more profound change to our outlook. I’ll start by talking about each of these dual shocks in turn before discussing the measures we are taking to prepare the business for what lies ahead. Turning to Slide 4. COVID-19 has presented a range of challenges that have affected our 12,000 employees in 27 countries. Our project teams have been quick to adapt practices to protect the health of our workforce with new measures including quarantines and extended rotations for vessel crews, redesigning onshore work sites to allow social distancing and remote working for office staff. Whilst for the most part, we’ve been successful in keeping the virus at bay during the first quarter, these measures came at some financial cost, estimated to be in the range of $15 million to $20 million. Since the quarter end, we’ve had to temporarily suspend activity at our Wick bundle site in Scotland due to the availability of labor. It reopened with a limited workforce on Tuesday this week. We’ve also seen one of our PLSVs in Brazil suspend activity due to a number of cases of COVID-19 onboard. Turning the page to Slide 5. Whilst the health and well-being of our workforce is our immediate priority, a longer-term challenge is posed by the sudden and severe drop in the price of oil. This has already had a significant impact on the CapEx budgets of our clients and has implications for new contract awards this year and our activity levels in the coming few years. We ended the first quarter with a healthy backlog of $5.6 billion, and our experience with prior cycles suggest that the risk to this backlog is relatively low. The majority of contracts are well underway. And generally speaking, it makes little economic sense for operators to suspend or cancel work. Recent awards carry a little more risk. With lower levels of some CapEx, there is a greater flexibility for clients to defer activities, and a number of our 2020 awards are being reviewed by our clients with a view to rephasing of near-term expenditure. From the backlog, we move to what we call pre-backlog. Contracts where we have been awarded FEED studies, and Subsea 7 will be awarded the EPCI award, subject to FID and also contracts where we are known to be the preferred bidder. These new awards are likely to suffer more significant delays, depending on the long-term oil price environment. However, we are the favorite contractor on a number of key future projects such as Rovuma, Scarborough and Pecan, and we remain confident that these will eventually reach sanction. Finally, beyond that, we have our tendering pipeline, where visibility on the timing of awards is low. Historically, each quarter, we have presented a world map, highlighting the projects on our radar. We will reintroduce this when we can say with greater certainty, which projects we expect to progress toward in the subsequent 12 months. On a positive note, we have been successful recently in the renewables sector, with awards of Kaskasi for energy in Germany and the Hollandse Kust Noord or Vattenfall in the Netherlands. Both are examples of integrated projects, bringing together the core capabilities of Seaway 7 in the foundations and cable installation sectors of the renewable space. Turn to Slide 6. We have limited visibility on several factors influencing our business, but what we can control is our cost base. As in previous cycles, we will take swift and decisive action to reshape the company. With a prospect of a lower level of activity for the next few years, our focus is on cash preservation and the protection of our strong balance sheet, while safeguarding our competitive position ahead of the recovery in oil and gas sector, whilst continuing to grow our Renewables business. We are now in the final stages of completing our review of operating costs and capital investment plans, we intend to roll this out later in Q2. We envisage that we will make a reduction in our global workforce. The majority of which will be nonpermanent employees, although permanent employees will also be affected. We anticipate that our active fleet will be reduced by releasing a number of charted vessels and stacking some of our own vessels. These actions will be implemented over the coming 12 months corresponding to our workload. Through the combination of reduction in our workforce and fleet, we’re targeting annualized cash cost savings of $400 million by Q2 2021. Our executive management team has agreed to a voluntary 15% salary cut from April this year to the end of 2020. We’ve also rationalized our CapEx budgets, which was reduced to $230 million to $250 million in 2020. We operate a modern fleet of vessels, and this will allow us to reduce CapEx in 2021 and 2022 to minimal levels. The restructuring charge associated with these measures is expected to be recognized in 2020. Turning to Slide 7. In combination with reducing our cash outflows, we’ve also diversified our access to liquidity. Our balance sheet is already strong with a net cash position of $112 million, excluding lease liabilities. We have cash and cash equivalents of $340 million. Our $656 million RCF remains undrawn, and we have established a new euro commercial paper program for the equivalent of $740 million, therefore, diversifying our sources of liability. We have no near-term debt maturities. Turning to Slide 8. All these measures are designed to protect the financial health of the business through the downturn, enabling us to maintain the competitive position for the recovery. Underpinning this plan is our strategy, which remains unchanged. These themes, we’ve discussed in the past. Firstly, the Subsea Field of the Future will be key to bringing together early engagement, technology, and integrated SURF and SPS and unlocking values for our clients. The second part of our strategy, energy transition, is also unchanged, with a strong focus on offshore wind. Our renewables clients are much less exposed to the price of oil and have not made cuts to their investment plans. We’re continuing to make progress, delivering existing projects, and we have recently announced a couple of new awards. And now, I’ll pass you over to Ricardo to run through the first quarter results.
Ricardo Rosa: Thank you, John. I would now like to talk about our highlights for the quarter on Slide 9. Group revenue in the first quarter was $751 million, down 13% compared to the prior year period, mainly due to reduced Conventional activity in Nigeria and Middle East. Adjusted EBITDA of $68 million was down 39% year-on-year with a margin of 9%, down from 13% in the first quarter of 2019. Impacts included low Conventional activity as well as reduced diving work in the North Sea and higher vessel transit time as certain global enablers would redeploy for new projects. We estimate that the operational and logistical challenges presented by COVID-19 adversely effected of the quarter by between $15 million and $20 million. These factors are reflected in the utilization of our 32 active vessels of 63% in the first quarter, down from 72% in the prior year period. Turning to Slide 10. During the first quarter, we booked new orders totaling $1.5 billion, implying a strong book-to-bill ratio of two. New awards included the Sangomar project, offshore Senegal; the Barossa project, offshore Australia; and the King’s Quay project in the U.S. Gulf of Mexico. Our backlog at quarter end was $5.6 billion. We have $2.7 billion of work for expected execution over the remainder of 2020, providing some visibility on revenue for the coming three quarters. The backlog for execution in 2021 increased to $2 billion from $1.4 billion at the end of ‘19. With four notable oil and gas awards in the first quarter, the SURF and Conventional business unit represented 82% of our backlog, with orders totaling $1 billion awarded to Renewables and Life of Field. On Slide 11, we summarized additional details on the performance of the business units. The SURF and Conventional business unit generated $625 million of revenue in the first quarter, representing 83% of the group’s total revenue. Work progressed significantly on Berri-Zuluf projects in the Middle East; Manuel and Mad Dog 2, the two integrated solution projects in the U.S. Gulf of Mexico; and the PRP6 project in Brunei. High utilization was achieved by the PLSVs operating in Brazil. Revenue from Life of Field was $63 million, a $3 million or 5% improvement compared to last year, driven by improved inspection and maintenance activity in Azerbaijan, while Renewables and Heavy Lifting reported $62 million of revenue, a 17% increase year-on-year, reflecting high levels of activity on the Triton Knoll wind farm offshore Germany. The group reported a net operating loss in the quarter of $49 million compared to a loss of $10 million in the prior year period. SURF and Conventional incurred a net operating loss of $27 million, down from a profit of $4 million in the first quarter last year. The deterioration from the prior year period was attributable to the factors I have already highlighted. The Life of Field business unit reported a net operating loss in the quarter of $1 million, an improvement of $2 million from the prior year, whereas Renewables reported a net operating loss of $12 million, a $3 million adverse movement compared to this time last year, primarily due to the Seaway Yudin being idle. Slide 12 shows our cash flow waterfall chart. In the first quarter of 2020, cash generated from operating activities was $82 million, including an improvement in net working capital of $19 million, driven by a larger increase in operating liabilities than assets. We monitor our receivables profile closely, have not experienced any significant delinquencies to date. We continue to target a reduction in net working capital over the course of the year. We ended the quarter with $340 million in cash and cash equivalents and a net cash position of $112 million. Adjusting for $367 million of lease liabilities, we had a net debt position of $255 million. The $58 million reduction in cash compared to year-end 2019 was mainly driven by capital expenditures totaling $93 million, of which approximately $60 million related to the construction of the new pipelay vessel, Seven Vega. Expenditures on the Seven Vega are largely behind us with all pipelay equipment installed, and the vessel is now being commissioned prior to sea trials. These are the final stages of construction before it is operational, we expect, in the third quarter. John has highlighted that in the quarter, we put in place a euro commercial paper program equivalent to $740 million as useful diversification of our sources of liquidity. We continue to look at ways of further enhancing our liquidity. And this, together with tight control of working capital and our intended actions to lower our cash cost base, reflects our focus on preserving cash and maintaining an investment-grade profile in these challenging times. Finally, turning to Slide 13, I would like to discuss our guidance. As you know, on the first of April, we withdrew our guidance for 2020 in light of heightened uncertainty due to the direct impact of COVID-19 on our operations as well as its impact on demand for oil and consequently, the oil price. At this stage, we have low visibility on the main factors that influence the financial outcome for the year. These include the financial cost of the operational impact of COVID-19 as well as its effect on the oil market and our customers’ budgets and therefore, the timing of their expenditures. The last factor gives rise to greater uncertainty on the timing of new contract awards, the conversion of FEED studies to full EPCI projects as well as the phasing of projects currently being executed. This may include the deferral of some recently awarded higher-margin work from 2020 to 2021. As a consequence of all these factors, we do not believe we can give, at this juncture, revenue and EBITDA guidance for 2020. We have, however, provided guidance concerning those elements under our control. This includes a target to reduce cash costs by approximately $400 million on an annualized basis by the second quarter of 2021. Capital investment in 2020 will be reduced to between $230 million and $250 million from our prior guidance of $270 million to $290 million, and we will target a further reduction to minimum levels in 2021 and 2022. We can do this as we have a modern fleet, which, in the near-term, does not require significant refurbishment to remain in class and operate reliably for our clients. We will remain focused on preserving cash, maintaining balance sheet strength and diversifying sources of liquidity. We are confident that the decisive and timely actions we are taking to rightsize our business will improve our resilience to the downturn while protecting our competitive position. I will now pass you back to John.
John Evans: Thank you, Ricardo. To summarize, we’ll turn to Slide 14. Subsea 7 is an experienced partner to our clients as we navigate difficult times together. Some of the challenges we face today are familiar, and we are drawing on our experience and proven track record of managing the business through downturns. The challenges relating to COVID-19 are new and often complex. But through it all, we’re continuing to deliver projects to our clients, whilst protecting the well-being of our workforce. We have a very solid financial position and strong access to liquidity, and we will take swift action to address our cost base to safeguard the financial health of the company whilst protecting the competitive position. The foundations of our long-term success remains our strategy, which is unchanged. In oil and gas, the concept of Subsea Field of the Future embeds a value optimization approach to field development, which is even more important in today’s low oil price environment. Meanwhile, our Renewables business continues to chalk up successes and make progress towards generating long-term sustainable growth. And now we’re happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Erwan Kerouredan of RBC.
Erwan Kerouredan: So 2 questions, if I may. You mentioned pausing tendering activity for certain conventional. Can you just clarify and be slightly more specific on timing, until when on the scope? Is there a defined scope within the division? And the second, kind of related. So there’s obviously a stronger outlook for Renewables. The question I have in mind, are there any synergies with other businesses, which you can take advantage of, whether it be in terms of staff rotation or anything else? That will be my first two questions.
John Evans: Thanks, Erwan. So on tendering, what we’re seeing is that the timing at which the large projects are being attended and will come out to market. This time, we saw our clients move quite decisively to either not issue tenders or to stop tendering processes that are partway through on some of the bigger projects. Equally, we’re not seeing much spot work being tendered at the moment. So really what we are working through with our clients is what are their plans. If you recall last time in the downturn, we went through a phase where certain projects were repeatedly recycled, probably, three or four times. I think this time, clients have made more faster decisions in terms of saying, okay, they’re going to hold back on their CapEx in the near term. And hence, therefore, then hold back on the tendering. In Renewables, there is a very clear read across to capability and skills in the oil and gas industry. The EPCI model, which is one that we like to bring into the oil and gas space, allows us to take people who have engineering and project management skills in the oil and gas space and put them to work in Renewables. So there is the ability to switch people backwards and forwards. And that’s one of the ways we’ve developed our Renewables business is not to have very large teams of EPCI people waiting on the bench, we draw them from our main oil and gas business as some of the larger projects come in the Renewables.
Operator: The next question comes from the line of James Evans, Exane BNP Paribas.
James Evans: A couple of questions from me, please. Firstly, just to dig actually into the performance in the quarter a little bit. I don’t know, Ricardo or John, I mean even beyond the $15 million to $20 million impact of COVID-19, it did seem maybe a little bit weak versus previous performance expectations relative to peers. I think you talked about, obviously, some of the factors. But look, was there anything in terms of underlying performance pre any of the COVID-19 impact that represents the material deviation versus what you would have expected for the full year? That would be helpful. And my second question, I think on the PLSVs, look, we’ve had some press reports that Petrobras is pushing on the contract with respect to force majeure, asking for discounts or deferrals or pauses. I just wondered if you could share with us any more detail on the status of the conversations. And of course, your contractual protections in the instance that they want to take any action?
John Evans: Thanks, James. Yes. Ricardo and I are fit and healthy, and we appreciate your continued support. Q1, just to sort of set the context here. We have always, as a company, told everybody to think about us in an annual basis. Quarters don’t work very well for us because of just the timing of where different projects fit together. We’ve called out two or three of the different elements that made an impact to Q1. This time last year, we were busy offshore in Saudi, doing conventional work in Saudi. We don’t expect to the offshore in Saudi until late Q3, Q4. So, the timing of which the first batch of Saudi projects finished at the back end of last year and the new ones physically start offshore, so we have a gap there. Similarly in Nigeria this time last year, we started a campaign that continued right the way through to September, October time last year, of jack-up work and pipelay work in Nigeria, revamping some of the shallow water work. We had expected that work to continue into this year. It hasn’t. And our assets are not working in Nigeria at the moment. So neither the Antares or the Inagha work this quarter.  And lastly, as we mentioned, we have seen the North Sea continue to have its seasonality. It’s a factor that we’ve been very familiar with. But the U.K. sector was particularly quiet in Q1 for our diving ships. And as you’ve seen, things like the Forties pipeline shutdown, which was meant to be in June this year, has now moved to 2021. So we expect the sea to be relatively quiet on the diving front in the U.K. Last but not least, but it happens every now and again. We move our big assets around, so the Borealis, the Oceans and the Normand Oceanic, each of those 3 vessels spent a considerable amount of time in Q1 moving around the world from different locations and therefore then weren’t fee-earning across on our big projects. So yes, there were some moving parts there that made a difference to Q1 and then you add the COVID, which we tried to call out as a figure. So for us, it’s -- and our portfolio of projects, they go up and they go down inevitably. But for us, it’s -- that’s how quarter 1 played itself out. On the second question on PLSVs, you’re correct in saying that there is a lot of information in the press. Petrobras have gone out to all their contractors to seek a set of meetings where they’d like to talk about what their future plans are. We, like all contractors, have gone into those meetings with an open mind, and we’re in close discussions with Petrobras at the moment. We are under firm contracts with them at the moment. And so our position, there is no discussion about force majeure or anything occurring at this stage in those discussions. So I think like every other client we have, we go into an open-minded discussion around what they’re trying to achieve and how we may be able to help.
James Evans: All right. I’m going to squeeze in just an extra one, may be for Ricardo, very simple, on CapEx beyond this year. Is there any reason that you’re going to be unable to go as low as the $120 million, $130 million-type maintenance level that you had in the depths of the last downturn?
Ricardo Rosa: James, it’s a simple answer. There is no reason why we can’t achieve that.
Operator: Our next question comes from the line of Vlad Sergievskii of Bank of America.
Vlad Sergievskii: I appreciate there is uncertainty in terms of providing any quantitive guidance for profitability. I’m wondering if you could talk qualitatively of headwinds and tailwinds to profitability you see in Q2 or perhaps later in the year compared to Q1. So that’s the first question. And second question, you obviously made an effort to boost liquidity compared to already a very solid level you had. Is it a sign or reflection of risks you see of a potential cash burn in the coming quarters?
John Evans: Well, I’ll let Ricardo take the liquidity question. I’ll just talk to you generally about the question of guidance. As we’ve tried to give you in our prepared remarks and also in the presentation, the main challenge we have today is really just making sure that we manage through COVID, and that we manage our day-to-day operation safely, and we continue to work for our clients. As you know, our chosen profession primarily involves epic contracts, which is a very tight set of peers that interlock to get a set of materials delivered through a set of suppliers in time for a set of engineering to be complete to allow vessels to be crewed offshore to go offshore to get projects to work. So for us, at the moment, there are too many variables which are outside our control, Vlad, for us to be able to give clarity on what that really means for us. But we are certainly controlling what we can control, and we are very good at managing things that get thrown at us and curveballs that come at us. So for us, it’s around being unable to really give clarity as to how long this will continue and what it really means. The second part, as we’ve discussed, is the lower oil price. So with the sanctioning and timing of projects that we had indicated to the market would be of a better quality backlog in terms of EBITDA and job level income will be probably shifted in terms of timescale and when we cut into those. And lastly, as I touched in my response to James’ questions. Spot work in the North Sea, we do expect that to be quite quiet this year. And hence, the reason we’re putting into place a cost reduction plan to allow us then to take out tonnage and some of the workforce that we may or may not need towards the back end of this year. I’ll pass you over to Ricardo to talk about the liquidity position.
Ricardo Rosa: Thank you, John. Good afternoon, Vlad. I think in times of great uncertainty such as these, it pays to move quickly and proactively to ensure that the company and its balance sheet is as resilient as we possibly can make it to face these unpredictable times. And in that context, we worked pretty hard on performing various scenarios of liquidity. And in the light of this, we’ve taken various, we’ve taken the steps here to diversify our sources of liquidity. But I wanted to assure you that our primary focus is on cash preservation. And as John has pointed out, we’re acting decisively to lower our cash cost base. We’re scaling back significantly on capital expenditures over the coming years. And at the same time, we’re wanting to make sure that we have both cash on the balance sheet, a strong balance sheet and ready access to the capital markets and sources of liquidity in a flexible and simple to access manner. That’s the basis of our strategy. I don’t think you should read anything untoward into this diversification.
Vlad Sergievskii: That’s great. And if I can squeeze the last quick question. Your $2.7 billion backlog for execution in 2020, does it include assumptions on activity within your frame agreements? And if yes, have you adjusted those assumptions already? Or not yet?
John Evans: So Vlad, our framework agreements, we generally only book them to backlog when the work order or call off has been made. So at the moment, our backlog is backlog that we have on the books today.
Operator: Our next question comes from the line of Jon Unwin at Bernstein.
Jon Unwin: Just on the backlog quickly. On the phasing that you gave for the backlog on Slide 10, does these backlog numbers take into account your assumptions around project delays? Or is this how it would have looked should there have been no global virus pandemic?
John Evans: I think, Jon, to answer your question, where we know where there’s a change, we’ve shifted it. And that clear change has been communicated by our clients. Where we’re sitting here today and saying, will there or won’t there be an impact on our Q4 work and does it shift? We haven’t changed it. And that’s the way we try to approach this. What we can quantify and what we can put our arms around, we’ve adjusted accordingly, what is supposition or may or may not occur, we haven’t adjusted.
Operator: Our next question comes from the line of Kevin Roger at Kepler Cheuvreux.
Kevin Roger: Just two on my side, please. The first one, the $15 million, $20 million of cost that you mentioned in Q1, I was just wondering if there is any chance that in the near term you would be able to recover it with some variation model, things like that? Or you’ll consider that it will be impossible this continue with the client? And the second question is regarding M&A. You did not mention any, let’s say, strategy regarding future, I mean, operation. So I was just wondering what should be -- what will be your position on that side? And if there is any, let’s say, subsegments where you think you could reinforce yourself in this current environment, please?
John Evans: Thank you, Kevin. I’ll try to answer both questions for you. So on recovery, we are in a dialogue with the vast bulk of our clients regarding the fact that we believe there are some merits in the fact that the changes that have occurred are due to government-imposed changes in working practices and such like and hence, the potential change in law. So we are in dialogue with some clients on that. It’s too early to call it. But I think there is a possibility we may recover some of it as the months progress. Not all clients are seeing it the same way. But equally, we’re in a constructive and positive dialogue with most clients on it. In terms of M&A, as I think I answered the question in the first call we did this year. For ourselves, at the moment, the areas that we are interested in is quite specialized engineering, early engagement engineering capabilities, because our Subsea Field of the Future strategy involves bringing those themes together of early engagement, our technology programs as well as the integrated offering we can offer with Schlumberger. So for ourselves, it will be certain areas like that, that if during this downturn some opportunities may come, we would be looking at some of those areas in the near term.
Operator: Our next question comes from the line of Haakon Amundsen of ABG.
Haakon Amundsen: Two questions for me, please. First of all, just a follow-up on the backlog scheduling question. I just wondered if you could give some color on how much of the $2.7 billion for ‘20 execution which is basically under discussion, just to get the feeling for how much can actually slip to ‘21? And the second question, very impressive cost-cutting plan that you’re launching. Just wondered if you could put some color on the charters you have and when they expire, just to get a feel for how many can actually be released within the next one or two years?
John Evans: I can’t answer your question on the backlog scheduling in any more precision than I answered the question for the previous caller from Bernstein. So, I will leave it -- that one for the time being. As the quarters develop, we’ll get better at being able to move all this around. I guess the key question really is for us is, we can see it having a direct impact on Q2. As the world continues to have a challenge with COVID, they’ll enter into Q3. And the timing of our clients’ project is really around us having surety of where they’re at in their decision making, and we should get better at that as the quarters develop. In terms of the cost cutting, we have not rolled out the detail of the plan as yet to our own employees. But if you look at 2 prime areas for us at the moment, we have our Life of Field business has a number of chartered vessels, which we tend to take on a yearly-type approach. So a number of those, we can make a decision if we choose to at the end of this year to decide whether we continue to take those or not. And the other area in terms of our heavy construction asset base vessels. We have some break abilities in those as well in the next 12 months that we may or may not be able to do some breaking in those at our call. It comes possibly at a cost, but equally, it allows us then to release the tonnage into future years as well.
Operator: The next question comes from the line of Amy Wong at UBS. Please go ahead. Your line is open.
Amy Wong: I have a couple of questions, please. The first one is, you talked about that there is a restructuring plan ongoing and you’ll communicate it more in the second quarter. But could you just talk about, qualitatively, if there are elements that you’re analyzing, are they permanent? And what would cause you to kind of change your view on a certain end market that would trigger this kind of a thorough restructuring? So just some more color on how you’re thinking about this cycle and how it plays out. And then my second question is just a quick one, which is on your COVID-19 cost of $15 million to $20 million hit in the first quarter. Can you talk about, now that we have another month underneath us, if the kind of -- those charges, are they increasing as we’re moving along? Or is it kind of happening at the same pace? So that’s my second question.
John Evans: I guess if I take the COVID one first. As I mentioned to one of the other questions that was raised, we are managing it day by day, week by week. So, since the quarter ended, we have an issue on one of our PLSVs in Brazil, which we’ve raised here, but we’ve actually managed to get Wick back into a lower workforce workload. So, I think it’s very difficult to be able to give very clear numbers as to what it means. But we gave you numbers there to show it you what a month did look like for us. And I suspect it will go up and it will go down as the months go by, depending on how things settle out there. We’ve also, I think, as an industry, we’ve got better. And what we saw in that first period of time was countries would put blanket bans.  Nobody is allowed into Norway, nobody is allowed into United Arab Emirates, nobody is allowed into Saudi. And then as time moves on, Norway softened that and allowed you to bring people in, allowed you to put them into quarantine. So maybe the shock of the first month might change. So at least we are clearer now that generally, the bulk of the world is in some form of constraint to do with COVID. And that most countries are now giving better clarity. The one area we’ve struggled with is the U.K. where the Scottish government and the U.K. government give conflicting information, and that causes quite a bit of problems for us. So I think to answer your question, we gave you an indication of what 1 month was, and we’ll just see how the next few months develop. In terms of the restructuring plan, we’ve tried to give you the sort of 3 main moving parts of the plan, which is a CapEx reduction, an OpEx reduction in headcount and an OpEx reduction that we also have in terms of the fleet. It’s primarily focused on our oil and gas business. And in fact, as I answered to one of the previous questions, we will be looking to move some oil and gas personnel into the renewable sector to support, hopefully, the growth in that sector, that will continue. So for us, at the moment, it’s around us looking at the business that we’re in and trying to cut our clock accordingly to what we can see coming. We will be looking at some structural elements of the business as well as to how we work that, and how we bring that together, and that will become clearer to us over the next few months.
Amy Wong: Just a quick follow-up on the $400 million. Could you give us approximately how much of it is fixed versus variable cost?
Ricardo Rosa: Amy, this is Ricardo. At this stage, I think it’d be premature to comment in any more detail. But what I can say is that we’re looking at all the cost elements within the $400 million that we’ve estimated. So you can assume that we will be addressing structural, therefore, fixed costs as well as the more variable elements that we can address.
Operator: Our next question comes from the line of James Thompson at JP Morgan.
James Thompson: Just a couple from me. The first one may get a similar answer to one from Amy there. But I was just wondering, you mentioned about shrinking the fleet over the coming year as part of the plan. I just wondered what that might mean in terms of the lease effects in the way you are reporting, what sort of magnitude of those benefiting EBITDA and lease liabilities could disappear? It’s my first question. The second one, is really thinking kind of longer term. And obviously, as we hopefully emerge from the COVID restrictions in relatively good time. Just wondering what you think you can sort of do to help oil companies get these projects back on the table. It looks like the curve is obviously around about $40 or below for the next couple of years. It doesn’t feel to me like there’s much more to be done on price, we’re already pretty lean when it comes to emerging from the last downturn. So just interested to understand your views on how that might emerge over the next few quarters?
John Evans: Thanks, James. I’ll ask Ricardo to talk about the EBITDA lease effect first, and then I’ll give you a longer-term view.
Ricardo Rosa: Yes, James, I think you were referring specifically to essentially the vessels that we charter. And the treatment that we have, both in our net income statement and balance sheet. I mean you’re right that the reduction of or the termination or non-renewal of these charters will be beneficial both to our depreciation line, but also to the right-of-use asset and the liabilities on our balance sheet. Then obviously, the lease liability is deemed to be a form of debt. So to the extent that we do terminate or not renew leases, you will see an improvement in our debt profile as well as a reduction in our depreciation. And obviously, the benefit will be flowing through our -- in terms of cash preservation.
James Thompson: In terms of the lease liability, what sort of fraction of it is the vessels?
Ricardo Rosa: I think you can assume that the bulk of our lease liabilities are linked to vessels as opposed to onshore assets. A significant bulk.
John Evans: James, to take your question about sort of longer-term view. We’ve strongly believed that the way we have been working with our clients is the way of the future. The positive I’ve seen now to this downturn is I’ve been talking to all our key clients, along with our other senior managers. And this downturn is a real clear wish to continue the way we’re working, to continue the way to optimize fields, to continue the way we work together. So I think that directionally, we’re definitely moving in the right way.  The collaborative method of being involved with your main end contractor right very early in your field -- field concept is very, very much appreciated these days. And the dialogues are about, we want more of this. As you might recall, we introduced the tool called Subsea Planner about 18 months ago, which is a modeling tool that allows our clients to do their FEED studies much faster to allow them to work through many, many different scenarios very, very quickly. It’s something that Schlumberger and ourselves put together.  And that tool is really the key to unlocking decision-making for our clients. So again, with a number of our projects at the moment, we’re back working with our clients with revised reservoir views, with revised ways of looking at how to deplete the field and such like. And that, I think, is very healthy for our industry. So directionally, we’re heading the right way. We haven’t seen anybody change horses and go down the -- let’s change the model completely approach. So for ourselves, I think we’re in the right place to have those discussions.  The world will continue to need oil and gas as much as we continue to grow our Renewables business. And that energy transition discussion, which all our clients are into, still has a healthy part of gas and a healthy part of oil in it. So I think we have the right tools. We have the right partners inside Subsea 7, and we’re very relevant to our clients, and the conversations have all been very healthy and very pragmatic about what we can do to help them. So longer term, I remain optimistic that directionally, we’re in the right place.
Operator: And our next question comes from the line of Mark Wilson at Jefferies.
Mark Wilson: In the past, you’ve given very clear charts on operating costs the past few years. The $400 million cash savings you target. I just wondered what proportion of previous year’s operating costs were cash. Do we just take out the depreciation and consider the rest of it to be cash costs?
Ricardo Rosa: I think you’re referring to the stacked histograms where we show our internal cost base, I believe, and also our direct project costs there, Mark.
Mark Wilson: That’s exactly right. Yes.
Ricardo Rosa: Yes. And I mean when we refer to cash costs, we’re referring to those costs that are clearly not depreciation. So I mean if that’s the thrust of your question, yes, I confirm that your thinking is correct. And the 3 elements -- the 3 main elements of our cash costs are, people, they are the costs of operating our vessels and our onshore facilities. And those -- what we -- and associated structured costs such as offices, et cetera. And those are the costs that we’ve been focusing on and are finalizing our plans to reduce.
Mark Wilson: Okay. Very clear. And then a more broader question. I appreciate your comments just before on John’s comments on how the integrated agreement and cooperation tools are working. But do you think this move in the oil price will force closer consolidation among alliance partners on the integrated EPC basis?
John Evans: There’s a loaded question for today, there’s a loaded question for today. I think the answer is ourselves and Schlumberger going right the way back to 2015, we had a model that we’ve put together in ‘15 to a market that didn’t exist at that time. And we’re very pleased, and we continue to work very, very well with each other. The model works fine. The way we have it structured today, we bring the best SPS contractor, the best SURF contractor to our clients, put them together and give them a very, very good model. We don’t try to blend it into one thing that is neither one thing or another. And so for us, at the moment, we’re very comfortable with our partnership, and a very healthy discussion has continued. And yes, together, we go through ups and we go through downs. But again, what’s very interesting, what I’ve seen is the teams working very, very hard here. We’ve got equipment that’s in one Subsea’s facilities in Italy. We’ve got some equipment in China, and how the teams pull together to make sure that these, they track and bring together. So we’ve got a very strong, very healthy relationship that continues to work as we’ve done it. And our 2 teams are 2 very proud companies and work very well with each okay.
Operator: Our next question comes from the line of Mick Pickup at Barclays. Please go ahead. Your line is open. 
Mick Pickup: A quick question, if I may, on the Renewables side. Can you just talk about the conversations you have in those projects still moving? And I think you mentioned moving more people from the oil and gas side into Renewables. Is that a sign that you think this crisis accelerates Renewables? Or is it just you saving on having to hire people for workload you expected in the future?
John Evans: Yes. Thanks, Mick. I’ll take your second question first. Yes, we were looking to hire both in oil and gas and in Renewables this year. It was part of our plan. Now we will be redeploying oil and gas experienced ANSI people into our Renewables business, supply chain guys, engineering guys, offshore guys that can assist. So that’s how we’ll handle that. I think the conversations I’ve had with our renewables clients are, they’re pretty much carrying on. They already had a way of making their business work independent of price of oil and gas. And so the momentum that we’re seeing in Renewables, that sort of effectively started in Europe and then spread to Taiwan and the States, keeps moving. And we’re also seeing the very, very big players, your Vattenfalls, your Orsteds, your NRGs really, really pushing ahead with their investment campaigns. Where it fits into the energy space in the future, it is not clear because of what’s happened to the price of oil and gas. But I see no sign of it slowing down in terms of there was a momentum already there, and that momentum keeps moving, and that’s why we’ve already said, yes, Renewables is going through a period of a lot of competition and a lot of pushing and moving backwards and forwards and new entrants trying to push into that space. But long term, we believe that it’s working. The piece I’m very pleased about as well, Mick, is, we now have a solid backlog of work with Orsted, a solid backlog of work with Vattenfall and a solid backlog of work with NRG, the 3 very biggest players in the renewable space. So again, the question of where does the oil and gas, oil service contractors fit in Renewables? As you know, we’ve at it for 10 years, but we’re sitting at the top table with those guys. So for us, the one caution I would still say, though, we remain cautious towards some of the risk profiles on some of these contracts. So you will see some gappiness like we’ve seen this quarter with the Yudin being idle. We’d prefer to idle the assets than to put them on some of the high-risk projects, which can be picked up in Renewables at the moment.
Mick Pickup: Okay. And a follow-up. If I recall during the quarter of some of your social media channels, you announced you started doing installation in dynamic positioning mode for Renewables?
John Evans: Yes.
Mick Pickup: Just talk to us, what type of benefits that brings?
John Evans: Well, the challenge for Renewables is generally this work is done in relatively shallow water, and so you have to anchor in relatively shallow water. And so anchoring is a challenge. So for us, it’s the removal of the anchoring. Set up on DP, no anchoring, you’re probably on a monopile, which we would do in 1 day, 1.5 days, you could probably say 6 to 8 hours, probably, something like that on DP. So it’s material. When you do 100 monopiles, it’s very, very material that you go on to DP. So we did the trial, and we will be deploying that on Hollandse Kust Noord as the modus operandi on the vast bulk of that work. So there are certain spots in our project where the water depth is even too shallow to work on DP. But that project will be done in DP.
Operator: And our final question comes from the line of Michael Alsford at Citi.
Michael Alsford: I’ve actually got 1 left. And it was really building on the last comments on Renewables. The last couple of contracts that you -- and awards that you won were more integrated, it seemed, in nature. And I just wondered whether that was just the way it was in those 2 contracts? Or actually, you’re seeing a slightly different contracting strategy from customers to probably lump together more broader scopes for these projects? That was my question.
John Evans: Michael, both of those were originally stand-alone packages where we had bid the cables and the foundation separately but we also made an alternative offer to our clients to bring the 2 pieces together. And for ourselves, the ability to control the cable laying and the foundations work in 1 package is also useful for us because in a big field, if there’s, for any reason, an operational challenge or logistical problems in moving jackets around or piles around, if you’re in control completely of which segments of the field you can work and you can move these cables that lay around. And for us, it allows us to have a larger package of work to be working with our clients. So those clients want the work to be awarded on merit in each piece and then we then try to put a package over the top to say, let’s bring it together.
Operator: And as there are no further questions, I’ll hand back to our speakers for the closing comments.
John Evans: So thank you very much, everybody, for your questions and your support over the last quarter. It’s been a very interesting time. We continue to try to give you an outlook, which is what we see ahead of and how we try to react as a company. You know that we tend to move quite quickly when markets change, both positively and negatively. We will be sharing more about our restructuring plan in the second quarter once we’ve shared it within our workforce inside the organization. So with that, we look forward to your questions and interactions in the next quarter, and we’ll meet you again at our July call. Thank you very much.